Operator: Good afternoon, ladies and gentlemen, and welcome to the SCOR Group Full Year 2021 Results Conference Call. Today's call is being recorded. [Operator Instructions] At this time, I would like to hand the call over to Mr. Yves Cormier.
Yves Cormier: Good afternoon, and welcome to SCOR Full Year 2021 Results Call. My name is Yves Cormier, Head of Investor Relations, and I'm joined today on the call by Laurent Rousseau, CEO of SCOR, as well as the entire Executive Committee. Can I please ask you to consider the disclaimer on Page 2 of the presentation. I would like to hand over to Laurent Rousseau. Laurent, over to you.
Laurent Rousseau: Thank you, Yves, and welcome, everybody. Today, I am pleased to report our 2021 results. They are robust results and they are results that demonstrate SCOR's resilience and ability to deliver. First of all, we continue to deliver on the Quantum Leap plan, which will carry on until the end of 2022. We have 2 targets, 800 basis points above risk-free rate and a solvency margin between 185% and 220%. On the ROE front, we achieved a 7.2% ROE despite the continuation of COVID-19 pandemic and despite exceptionally high natural catastrophe frequency for a fifth year in a row. Our €456 million net income relies on a significant transaction, which we concluded in the second quarter of the year and which crystallized the significant value that lies in our life reinsurance business. In a challenging underwriting environment, we have been able to put all value creation levers available. Earnings generation was supported further by a strong fourth quarter, especially on the P&C side. On the solvency front, we remained above the upper end of our target range at 226%. Our financial strength is a key asset in this environment, and we will preserve it. We also delivered on the commitments we took during our September 2021 Investor Day, to first of all, reduce the volatility of our underlying businesses. The actions taken in the fourth quarter 2021 on our U.S. MGA book as well as the 1st of January 2022 renewals for the broader book have a meaningful impact on our natural catastrophes P&L reduction. Second, we increased the profitability of our business. We achieved a net income of €118 million for the fourth quarter, thanks to a 95% net combined ratio in P&C. We have also redeployed our excess cash position in 2 corporate bonds, as we said we would do. The investment returns benefit will flow through the P&L over the coming quarters. Third, we continue to grow our franchise and position ourselves as a leader in a market where risk awareness is rising, leading to more disciplined pricing. Our gross written premiums are up 9.8% at constant exchange rate compared to 2020 to €17.6 billion for 2021. Both of our businesses, P&C and Life and Health grew profitably with a strong underlying franchise development. The fourth commitment we took in September 2021 was to manage our capital in a disciplined way. Of course, dividend policy is unchanged. We continue to favor dividends as a way to remunerate our shareholders and pursue the attractive dividend policy that we have implemented over the years. We will be proposing a dividend of €1.8 per share at our AGM. This comes on top of the €200 million share buyback announced in October. It will be fully executed by the end of March 2022. We will continue to act in these directions in 2022 as well with a strong sense of disciplined execution. Finally, and I will conclude on this, I took a personal commitment to engage directly and proactively with all our partners. Over the past few months, I have proactively met our key shareholders and engaged with a large number of our key trading partners. This engagement has been tremendously useful to share the directions of our upcoming strategic plan and explain our focus on delivery. I will now hand over to Ian to go through the financial specifics. And once he walks you through the key financials for 2021, I will then explain the 2 key milestones for the upcoming strategic plan and what we expect for the 29th of March Investor Day, and we will conclude with a Q&A session. Ian, over to you.
Ian Kelly: Thanks, Laurent, and good afternoon, everybody. Let's look at the key metrics of the year. In 2021, SCOR continued to successfully develop its franchise and deliver profitably in a challenging environment. Gross written premiums stand at €17.6 billion. This is up 9.8% at constant FX compared to 2020, driven by P&C up 17.6%, benefiting from excellent renewals and steady life growth, up 3.6% with continued franchise expansion in Asia. Regarding profitability, net income is at €456 million in 2021, translating into an ROE of 7.2%. And looking at the business units, starting with P&C, we have published a combined ratio of 100.6% in 2021, heavily impacted by a cat load of 12.8%, of which 8.3% comes from European floods, U.S. severe winter storm, Hurricane Ida. The underlying development is good with the attritional plus commission ratio improving by 2.9 points as a result of the management actions implemented in 2020 and 2021. Before retrocession, COVID-19-related estimated claims increased in Q4, but there was no net additional impact as we had an adequate retrocession strategy in place. Overall, the net impact is stable compared to H1 2021 at €109 million. On the Life side, the net technical margin stands at 10.3% in 2021, of which 4.3% is related to the day 1 impact of the Life in-force transaction. The COVID-19 claims booked stands at €466 million in 2021, of which €357 million comes from the U.S. Excluding COVID-19 claims and the one-off impact of the Life in-force retrocession transaction, the revised Quantum Leap range for the technical margin of 8.2% to 8.4% is exceeded. On the investment side, the return on invested assets stands at 2.3% in 2021. Income yield on the portfolio is at 1.7%, with a reinvestment yield now at 2.1%. The portfolio re-risking in favor of corporate bonds announced in September '21 is successfully completed. The liquidity is down from 16% as of H1 '21 to 9% of assets under management at the end of Q4 2021. In this context, solvency remained strong at the end of the year, estimated at 226%, stable compared to Q3 of last year. This is above the Group's optimal solvency range of 185% to 220%, with COVID impact and assumption changes being offset by capital generation, market variances and the Life in-force transaction. If we now look briefly at other key financials, Group shareholders' equity remained strong at €6.4 billion, resulting in a book value of more than €35 per share. And finally, I'd like to highlight the Group's strong cash flow with net cash flow from operations exceeding €2.4 billion. With the Group's very strong capital position and in line with our capital management process and dividend policy, an attractive cash dividend of €1.8 per share for the fiscal year 2021 will be proposed at the Annual General Meeting on May 18. This comes on top of the €200 million share buyback program that will be completed at the end of March. So in total, this is €523 million that will be returned to shareholders for 2021. With that, I will hand back to Laurent. Thank you.
Laurent Rousseau: Thank you, Ian. Before we move on to the Q&A, let me tell you what you should expect on the 29th of March Investor Day and on 9th of November with regards to our upcoming strategic plan. First of all, on the 29th of March Investor Day, we will update you on the actions we continue taking to execute Quantum Leap in 2022 and deliver on the commitments we took. We will also present SCOR's strategic priorities, how we see the environment evolving, creating opportunities for business initiatives and operational efficiencies. We will take you through the way that IFRS 17 shapes an appealing value creation framework and how we communicate in March will necessarily be based on IFRS 4 metrics. We can only commit on IFRS 17 KPIs later in Q4, and this is the reason why we have chosen to take a 2-step approach. On the 9th of November, together with our Q3 results, we will provide IFRS 17 KPIs for our strategic plan. And we'll, of course, update you on where we stand in the implementation of SCOR's transformation roadmap and operational efficiencies. Our ambitions and strategic orientations are based on the vision built by the SCOR Executive Committee. It relies on 3 pillars. Financial performance. We aim to create long-term economic and tangible value for our shareholders. Business leadership. We will be a leader of the reinsurance industry by offering a differentiated value proposition. And finally, we'll rely on our cultural people. We will grow a nimble and innovative organization. With that, I hand back to Yves for the Q&A. Thank you.
Yves Cormier: Thank you very much, Laurent. On Page 18, you will find the forthcoming scheduled events. With that, we can now move to the Q&A session. Can I please remind you to limit yourselves to 2 questions each. Thank you.
Operator: [Operator Instructions] We do have our first question from Will Hardcastle, UBS.
Will Hardcastle : Two questions. I guess, first one is, can you provide us any detail on inflation experience, it's come up on a couple of recent calls? How have you factored that into sort of current loss picks for '21? And did it result in any movements to prior years? And just as a simple line for us, what lines of business should we have most concern on just generally? Second one is, I'm looking at reinvestment yields. And look, I can get pretty excited about the benefit to regular income running yields given what's happened year-to-date. But the asset revaluation reserve was just €100 million at year-end. It's down sort of €400 million year-on-year. Is it fair to say this could actually be 0-ish now? And what implications do we need to think about from a reinvestment yield benefit? Is it a pure offset? Any guidance, I guess, on run rate of gains would be helpful.
Laurent Rousseau: Thank you, Will. Fabian will answer on inflation and Francois on the investment assumptions.
Fabian Uffer: Thank you very much, Laurent. On inflation, I mean, our book is compared to our peers less exposed to inflation, very simple because our share of life is bigger. And then on the P&C side, our -- we have more short-term than a long-term book. But as usual, as part of our normal reserving, we have updated inflation assumption as part of our yearly process, but we also have updated inflation assumption as part of our pricing for the 1/1 renewal. So we feel very comfortable. And our overall reserving position is as always and with an unchanged reserving policy. Jean-Paul, do you want to comment on the specific [LOB] situation?
Jean-Paul Conoscente: Thank you, Fabian. In terms of your question on loss pick, when we look at the projected performance of business that we're renewing, we take into account, of course, inflation in terms of the sums insured as well as in terms of the claims inflation, the loss cost increases and the sort of the assumptions we use to assess this vary by country, by line of business. I'd say the assumptions we use vary between 5% and 10% depending on the line of business and the location with the U.S. being, of course, higher projection than Europe or Asia. Maybe I can pass it to [Francois] for the second question.
Unidentified Company Representative: So on the investment side, so we booked an income yield of 1.7% in 2021. Given the dynamics on the interest rate market and especially on the U.S. one, I think we reached the bottom in 2021, and the income yield will now start to increase again. As you mentioned it, our investment yield at the end of 2021 was 2.1%. Just to give you an illustration, the reinvestment program we implemented in H2 last year, so to rebalance our liquidity from 16% to 9%. It was a program mostly denominated in dollar, and we booked an average yield of 2.05%. So above the income yield, which will translate in the next few months and quarters into the recurring income yield. So now on the amount of realized -- unrealized gain and losses within our portfolio. As you know, our portfolio is mostly a fixed income portfolio. So that's what you see at the end of the year, that's the effect of the increase of interest rate. Since the beginning of the year, this amount has again decreased. Having said this, we don't have any liquidity issue. We have a significant amount of cash that has to be reinvested over the next 2 years, €9 billion to be invested. So we will catch quicker the increase of interest rate on the market. Keep in mind that 53% of our portfolio today is denominated in U.S. dollar. So we will catch progressively this increase over the next few months. And I will give an objective of return on invested assets for 2022 between 1.8% and 2.3%. As mentioned during the call, during the Q3 presentation last year, we realized the sale of mature real estate building. So that will flow into the P&L in Q1. Don't expect in 2022 major fixed income gain, again, given the dynamic on the interest rate curve. But I'm fairly optimistic on the fact that the income yield will start to increase again.
Will Hardcastle : That's really helpful. Just coming back, sorry, just on the reserve, the inflation impact to reserves. Was there any lines of business where you had to strengthen at all or are we comfortable with prior year's initial loss picks, et cetera?
Jean-Paul Conoscente: There's really nothing more to mention than what I have said. I think we have gone through the process. It's nothing unusual what we had to do. So we processed all lines of business in the same way in certain areas. We strengthened a bit in other areas. We could re-lease a bit. But there's really nothing particular ongoing.
Operator: Our next question comes from Thomas Fossard from HSBC.
Thomas Fossard: Two questions on my side. The first one will be related to the normalized combined ratio. If I were to compare the H1 versus H2, actually, we've got 94.7% in H2 for Q3 and Q4, which seems to be pretty dissimilar from the 91%, 92% that you reported back in Q1 and Q2. So I know that there is probably a bit of normalization of man-made losses, but I would be interested to get a better understanding of why this optical deterioration from H1 to -- from H2 compared to H1? And if you could bring some granularities around this? The second question would be related to your expectations regarding COVID-19 mortality losses in 2022. I mean, I guess, that you've got something booked already in your S2 number. I've seen that the unfund impact of COVID is 56%, but to be far, I'm a bit lost of what is current and what is expected for 2022? So if you could shed some light? And also related to this, I mean, following the Covea transaction, you indicated that you increased the level of reserve by €600 million. So I was interested to better understand how in-force management or partial use of this reserve buffer could be used to offset or to buffer any additional mortality claims, COVID-19 mortality claims in 2022?
Laurent Rousseau: I guess, Jean-Paul will take your first question and then Frieder the second.
Jean-Paul Conoscente: So on the normalized combined ratio, you're right, Thomas, that the Q1 was much better -- the H1 was much better than H2. A large part was due to, say, lower man-made at the beginning of the year, catching up to us in the second half of the year. As you will remember, we have remained very cautious in the first half of the year saying that the improvement was probably a mix of the improvement of the underlying business as well as some COVID overhang, and we were not really sure how to quantify it. I think what we saw in H2 the COVID overhang is diminishing. At the same time, as some of the, I'd say, the smaller losses, the impact of inflation in H2 was starting to be felt a bit more, and that I think explains the main difference. It's not driven by any particular line of business. We did see some man-made losses in H2 on the single-risk specialty insurance on the reinsurance as well. So I think the important part is to notice the improvement of the portfolio year-over-year. And if we look at the entire year, the improvement of almost 2.9 points compared to last year, is largely due to the interest improvement of profitability of the portfolio. The difference in man-made between last year and this year is only 0.5 point. So the rest is really the improvement of the portfolio. And maybe I can pass over to Frieder on the COVID mortality.
Frieder Knupling : So you asked a number of questions. Maybe starting with the solvency ratio -- our own funds number, which is stated there is the aggregate incremental impact in 2022 of COVID on both Life and P&C, including all expected future COVID costs and then including the change to the assumption, which we've made at the beginning of last year. So it's not directly comparable to what we book on an IFRS basis, which is, as you know, on an incurred basis. In Q4, we've seen -- we are disclosing what we have booked in terms of COVID claims. There has been about €40 million of additional COVID claims for prior quarters which have been reported later than usual and which we've booked in Q4. So that has led to a certain uptick in the COVID numbers in Q4. On your question regarding reserve margins, which we've set up after the in-force retrocession transaction, that is the case. And these margins continue to support our profit potential by providing us with opportunities to accelerate earning profits into income, and that has contributed to the very strong results, which outside of COVID, the Life business has shown in Q4. We've also seen a number of other positive reserve movements in Q4, but the strong underlying performance of the book and the possibility to accelerate some of the reserve margins, as I mentioned before, have been a contributor to the very strong result in Q4. And we expect this support to also be available in 2022. Our technical margins expectation before COVID in 2022 continues to be in the range of 8.2% to 8.4%, in line with what we have announced in September. And then maybe on the COVID outlook for 2022, we've obviously seen a fairly strong winter wave of COVID claims in the U.S. where we continue to have our biggest exposure to COVID death claims. This has peaked, meanwhile, the incidence numbers have decreased very rapidly over the past weeks, and we expect that death numbers will also decline in line during Q1. We have seen a slight shift in the claims patterns towards somewhat younger ages and also slightly different parts of the population. And as a result of this, population deaths in Q4 have translated into a somewhat higher claims load for us, and we expect this to continue at least for the current wave. So for about 10,000 population deaths in the U.S., we would now expect something in the range of €7 million to €8 million of claims impact. We expect the winter wave to reduce significantly in the next couple of weeks, as I said, and then have a much, much milder COVID experience in the next quarter, particularly in Q2 and Q3 when the warm weather in the Northern Hemisphere will reduce exposures and death numbers in particular in the U.S. where we have our biggest exposure. We continue to see some claims from non-U.S. markets. The markets are broadly the same as in the past, mostly Latin America, South Africa, India, and to some extent, the U.K., but the impact is much smaller and we expect that will continue to be very manageable for us.
Operator: Our next question comes from Ashik Musaddi from Morgan Stanley.
Ashik Musaddi : Just a couple of questions, if I may. First of all, how do we think about the dividend projection going forward? I mean, what was the basis of you giving €1.8 a share? Would be good to get a bit of color on that just to assess like how do we think about dividend going forward? Should it be growing with earnings or are you growing with earnings and recovery out of COVID or should we be thinking about flattish dividend going forward as well? And secondly is, with respect to your premium growth, I mean, clearly, premium growth was very strong in fourth quarter again in P&C, I mean, up 20% or so. How do you think about the net earned premium growth in 2022 in the P&C business? Because clearly, 2021 has been very strong on the GWP. So how do you think about that translating into NEP would be very helpful to us?
Laurent Rousseau: Could I ask you to repeat. I'm going to take your question on dividends. And if you could maybe repeat the one on premiums, I'm not sure I got it fully. But let me answer first your question on dividend. And here, if you look at Page 6 of the presentation, the approach is very explicit. We based the dividend on the solvency position. This is really the first point. And it has to be -- the solvency position has to be in the optimal range of 185% to 220%. On the basis of this, we look at the business needs, business opportunities and then we set the dividend accordingly. If there is some kind of excess position, a meaningful excess position, like it was the case earlier in end of 2021 in October, this is how and when a share buyback can come in to complement the dividend core strategy. But I would really reinforce the fact that it's -- the dividend is capital-driven and the share buyback, I guess, a source of flexibility on top of any specific way. And second is that, here on Page 6, you can see the backing of our dividend on cash flows and the steady commitment we have to a healthy dividend policy. Maybe if you could repeat your question on premiums, I'm not sure I got it.
Ashik Musaddi : Sure, no problem. I mean, just on the premium, the only thing I'm trying to understand is the written premium was very strong in P&C business in 2021, I think it was about 20% or so. How do we -- how does that translate into earned premium in 2022? That would be very helpful if I can give some color. In case there is any step change or anything like that? Otherwise, if it's just like more formulaic then it's okay, no problem.
Laurent Rousseau: Jean-Paul, do you want to take the premiums in P&C question?
Jean-Paul Conoscente: Sure. As you said, we did have a very strong gross written premium in 2021. As you remember, we had much more modest growth in 2020. And so that's what we saw in terms of the earned premium for the first part of 2021. The net earned premium in the first half of 2021 was driven in large part by the book rate in 2020. In Q4, we see that net earned premium has reached 14.7%. And therefore, as the underwriting year 2021 is contributing more to the net earned premium, we expect that to accelerate. So as we project ourselves into 2022, based on the strong renewals we had in 2021 and in January and we expect for the rest of the year in 2022, we would expect the net earned premium to grow double-digit in line with what we saw in Q4.
Operator: Our next question comes from Andrew Ritchie from Autonomous.
Andrew Ritchie : Could I just ask -- first question is on Slide 13. Could you give us a bit more color on what was going on with 2 items in that roll forward of solvency EOS? Firstly, the assumption changes in experience variances, which are very substantial. I think they're mostly Life, but what is that? And why should we assume it's one-off? And also on the same table, the other, minus €196 million is bigger than it's been historically and it's referred to nonrecurring tax items and non-recurring provisions, but what are they please would be useful? Second question, I thought you were adopting IFRS 9 from the 1st of January, '22, but that doesn't seem to be -- that wasn't commented on when you talk about the investment return or are you just excluding any volatile item effects or mark-to-market year-to-date? I just confirm that you are transitioning to IFRS 9. And in that context, I presume you will look through any associated market volatility when looking at the sort of profit outcome for the year and how you decide on dividend?
Laurent Rousseau: So on the -- yes, I confirm that we are going to have a full migration of the investment portfolio under IFRS 9 in Q1 this year. Our migration is -- and will be done in a few weeks from now. What will be the major change under IFRS 9? I would say, for the bulk of the fixed income portfolio, I don't expect any change, except for the fact that under IFRS 9, we move from an ex-post impairment of a credit event to an ex-ante provision of the average default risk per security. So that will be the change. And you will see then a small volatility or adjustment in the ECL each quarter. And then some securities will be reclassified and mark-to-market as before in shareholders' equity, but the mark-to-market will flow on a quarterly basis into the P&L and will add some volatility on our results and on the return on invested assets. So don't expect that we'd change, I would say, the format of the disclosure. We will precise each quarter, of course, the amount of provision on the expected credit loss, but you will see more volatility in the P&L. That part of the explanation of -- you saw that we took gains on listed equities in Q4. That was to prepare or to optimize the portfolio under IFRS 9. So we prefer to migrate listed equities with a significant volatility in the P&L under IFRS 9 to private equity or infrastructure funds on what we call value creation assets. So again, the expectation of 1.8%, 2.3%, that I mentioned is under IFRS 9.
Frieder Knupling : Andrew, on your question on the own funds movement, I think your assumption that this minus €561 million is all life is not the correct assumption. We have booked there the 300 excess cat losses that we have above our budget, which was 7% in last year. So more than half of it comes from P&C. And then the rest is on the life side, but there are really -- it's a mixture of ups and downs. And the order of magnitude is very similar at this time negative than we had in the past. We had a positive in '19, a positive in '20 and now a negative. So we really believe this is still kind of Solvency II is our best estimate. And over time, this should be, and that's also our thinking is it's going to be expected zero. And when we look at the other bucket, the way we do our own funds work is really we have a fixed tax rate, which is a planned tax rate or also that we use to align the different items that are post-tax. And then there is the difference to the actual, it's really booked into this other bucket. I think this is for us the most clean way to understand also internally these figures. And I think there is a small other item that we booked in there, but this is also a nonrecurring item.
Andrew Ritchie : So just to understand then, if in a given year, your cat performance budget -- sorry, cat actual was in line with budget, and let's just say there were no -- everything was running at best estimate in life, that 5%, 6% won't be zero. And also, it sounds like the €196 million should be a zero as well?
Laurent Rousseau: I think definitely in the assumption changes and the experience variance, it should be a zero, and that's sometimes our expectation over time. There can be fluctuation and you will see similar things under IFRS 17, where there will be a natural experience variance. But obviously, our cat is in some sense an unplanned experience variance against our expectation and that flows into this line. The other is structurally slightly different in the sense that we use kind of a tax rate based on our strategic plan assumption. And so the difference of the actual tax rate versus our plan assumption will also flow in other. But if we get this right, you're absolutely correct that this also will be zero.
Andrew Ritchie : And sorry, just one other question I had on IFRS 9, maybe it's for Laurent. I should ignore or you will look through IFRS 9 volatility when assessing, I don't know, IFRS ROE or I mean, to some extent, it's academic because it's only this year and then it all changes next year. But is that how I should think about the association of volatility with the transition?
Laurent Rousseau: I would expect so, and I'll let Ian complement my positive answer.
Ian Kelly : Yes, exactly. I mean, we are likely to see some variation quarter-on-quarter. But in the long-term, the variations are not expected to change the overall dividend policy that was laid out.
Operator: Our next question comes from Vinit Malhotra from Mediobanca.
Vinit Malhotra: So my 2 questions. The first is back on the Slide 13 where I think for clarifying the zero for assumption changes. But what that statement also implies is the operating capital generation is about €900-odd million, which is sort of consistent with the last 2 years' data as well. Now that would imply that your -- that's about 20% of the SCR. And then if you take out about 7, 8 points of dividend, you get a 12% OCG-driven ex-dividend solvency improvement. Do you think that's a fair math to do? Because I think in the past, the guidance on how much capital generation net of dividend happens has been lower. And even at the Investor Day, we had that slide where we discussed this topic. So I'm just curious whether this 10 to 12 of run rate capital generation addition to Solvency II every year is a fair assumption? So that's the first question. Second question is just on the Life COVID, ex-COVID rather. I mean, the technical margin or capital ex-COVID is roughly 15%. And we have been used to a little higher margin because of in-force management actions. But could you comment that was there anything more exceptional than usual in the fourth quarter? And also, how should we think about this activity on the Life side going forward please for margin side?
Laurent Rousseau: You know that we don't comment on forward-looking operating capital generation, but we stick in the sense to our thinking that what we have seen historically, and maybe this is a bit of an exceptional year, is a good guidance for looking this forward. I really like to highlight the new business contribution, and this is an excellent result and we could really make here an annual growth of 29%, which is very strong. And I think we have the target to increase that over time continuously as part of our Quantum Leap strategy.
Vinit Malhotra: I mean, the only thing is that now it's 226 solvency. Within a year, this 12 point gets added. And then in a couple of years, you have 20 points from the risk margin as well. So there's quite a lot of capital building out then, and that's why the question...
Laurent Rousseau: Sorry, I didn't get exactly what the question is.
Ian Kelly : I think, Vinit, in terms of the capital position, we do have a strong solvency position. And that's as a result of what we see in terms of the capital generation here. We provided a strong capital return for 2021. And as Laurent described, we look at the dividend policy going forward. We start with -- or the dividend going forward. We start with the solvency position and work from there.
Frieder Knupling : And on your second question, yes, you're right, the Q4 performance of the Life book excluding COVID was very strong, as I mentioned. This has been due to a number of reasons. The in-force transaction is enabling us to release certain margins faster into a profit than before, and that was something which contributed in Q4. We've seen a number of one-off reserve movements in addition to this, which ended up being an aggregate quite favorable. And then the underlying performance of the business was strong at or slightly above expectations. We continue to expect ongoing benefits from the in-force transaction to our earnings profile in the future. So that is one of the reasons why for 2022 we maintained the elevated technical margin guidance in the range of 8.2% to 8.4%. And yes, we continue to manage our in-force book very actively. We work with clients on appropriate solutions for underperforming parts of the business or books of business where we can improve the performance above and beyond the current earnings profile. That has been an important factor of our value management over the past years, and that will continue to be an important pillar of our value generation capabilities going forward.
Ian Kelly : Just to clarify. The 8.2% to 8.4% is excluding COVID impacts.
Operator: Our next question comes from Kamran Hossain from JPMorgan.
Kamran Hossain : Two questions from me. The first one is just coming back on, I guess, the last point about the 8.2% to 8.4% technical margin guidance ex-COVID. I know you obviously don't want to may be predict, get a crystal ball out on 2022 given that no one really expected things to turn out like they have today, but at what point do you think you'll return to the 8.2% to 8.4% technical margin guidance in 2022? I think this time last year you talked about Q4 for returning to the normal range. So kind of a steer on kind of either what you think the total COVID impact for '22 would be in Life or kind of when you will return to the 8.2% to 8.4% range would be helpful? And the second question, just on capital. I was slightly surprised that you didn't grow the dividend when Solvency II was so strong, you've got a buyback in place, which suggests you've got lots of surplus, which on a Solvency II basis you do. Can you maybe give us an idea either quantitatively or qualitatively about the level of S&P surplus? I'm just interested in that, especially in the context of I guess the negative watch at the moment.
Laurent Rousseau: So on the first question, as I mentioned, the 8.2% to 8.4% technical margin is an expectation for the full year 2022 pre-COVID? And then on COVID itself, as I mentioned earlier, we are currently seeing that 10,000 U.S. deaths translate into claims in the range of about €7 million to €8 million. So if you use that as a factor to your assumed U.S. death rates that gives you an indication of what you should assume as an overall claims load. And then we will continue to see some from the same markets, which I referred to before, but it's -- our assumption is that they will continue to be of much lesser magnitude than our U.S. exposure.
Kamran Hossain : Can I just come back and just ask, I know that you -- again, you don't want to maybe predict the number of death because it's very difficult to exercise. But do you have an internal expectation of what COVID might look like for 2022 in terms of numbers of death?
Laurent Rousseau: We have to make assumptions for Solvency II purposes and project the total number of outstanding COVID claims for the future. But I mean, this is really a range of potential outcomes. You have to assign probabilities to them and then I have to come up with a probability weighted estimate. So it's -- there's not one single scenario, which we think is the right one for this year. There's really a fairly wide range of potential outcomes from -- the current wave just runs off, vaccination rates and booster programs continue at a good pace and we will see much lesser impacts also in Q4 over -- there will be a more significant winter wave maybe with a new variant, which the population needs to adjust to more severe outcomes and the potential outcomes are quite wide.
Ian Kelly : Kamran, on the S&P position, the Group rating remained strong. We continue to offer a AA level of security to our clients. We're above AAA in terms of the capital that we are holding on the S&P model. And so there's no question about the S&P capitalization of the Group. And we manage what's in our control. And we are above that AAA threshold. In respect to the dividend, I think the -- it does need to be considered in the overall context. I mean, Laurent explained the policy. But in the overall context of the share buyback, there's been strong return this year.
Operator: Our next question comes from Thomas Fossard from HSBC.
Thomas Fossard: I had a couple of additional questions. Can you -- on the COVID-19, can you specify the level of IBNR you have at the end of the year, maybe both for P&C and Life, if you have? The second very small question is the gross written premium. P&C reported full year for the €8.3 billion. Is that the new base to apply the growth rate, top line growth that you're expecting this year for the 15% to 17% or some of this growth has been already somewhat front-loaded in Q4, reducing a bit the guidance in terms of growth? And maybe the last one would be, I think that one of your competitor yesterday commented on the fact that they have closed their full year 2021 account on a pretty cautious basis when thinking about their Q4 reserving assessment. What's been your way of looking at things in a context of higher loss inflation cost and maybe uncertainties that you may have? I know that your book is somewhat shorter, but anyway, I mean, are you willing to flag any kind of conservatism in your reserve a bit more than usual this year around?
Laurent Rousseau: Maybe I'll start with the P&C questions. So relative to COVID, we have booked a little less than €400 million net over 2021 for COVID and the amount paid at the end of December 2021 was €100 million. On your second question relative to premium, with the 8.3, there was one item that was a one-off transaction that was completed at the end of the year. But overall, I'd say that represented roughly €100 million of premium income. So the 8.2 to 8.3 is indeed the right basis for the projected growth in 2022.
Frieder Knupling : Just a complement. IBNRs for Life COVID claims, we have paid out about 90% of the COVID claims, which we have booked. Payments are relatively quick on the Life side. So that leaves you with about 10% or somewhere in the range -- somewhere between €50 million and €100 million of outstanding IBNRs for claims which we have booked in as per the end of 2021. So around €80 million as a ballpark estimate.
Laurent Rousseau: Ian, do you want to answer on the cautious stance on reserving on the closing of the accounts?
Ian Kelly : Yes, I can take that. I guess, it's more reserving questions. And I mean, we didn't change our reserving policy under just best estimate. So there's nothing more to say.
Operator: We will now take our next question from Ashik Musaddi, Morgan Stanley.
Ashik Musaddi : Sorry, just one more follow-up again on this capital generation. Now I come to a point that this €561 million could be a one-off. So if you assume it to zero, then the capital generation is around €900 million, which is 20 percentage points, and that number is very high. But do we not need to remove the capital that you deploy every year as well, which is €147 million on Slide #12 because clearly, you will need to deploy that capital every year as well. So your SCR will get impacted or -- so how do we think about that or do we not need to adjust for that? Because I'm just trying to understand that, is 20 points the right number of capital generation or should it be 20 points less the 8 points that you have to deploy every year. So just some clarity on that would be helpful.
Laurent Rousseau: And if you observed it, we have slightly changed the way we illustrate that compared, for example, to the IR Day because we got a lot of questions on how much do you generate and how much do we deploy. So we split these 2 steps up in terms of how much we generate called operating capital generation. And then the second step, operating capital deployment is really how much we need to finance the business going forward. In the past, these 2 steps were together. And so there's actually not more information, but it's just showing a bit more the mechanics how in the events Solvency II works in this sense. You have the own funds movement that generate the capital. So this is really you put your capital at risk last year, and that's the return on capital that you got from putting your capital at risk. And then in the end, the SCR part, is on the capital requirement or the operating capital deployment is the capital you additionally need for the growth of the business going forward. So definitely, if you want to understand the solvency ratio overall movement, you need to take into account both how much we get and how much we need for the future business. And when you compare, for example, the operating capital deployment from the last years, this has been significantly lower than what we see here now. And this is just a function of the business growth, the risk we take, the diversification we have, but it's a pretty normal number from our view.
Operator: Ladies and gentlemen, this concludes today's Q&A session. At this time, I'd like to turn the call back to speakers for any additional or closing remarks. Thank you.
Laurent Rousseau: Thank you very much for attending this conference call. The Investor Relations team remains available to pick up on any further questions you may have. So please don't hesitate to give us a call. As a reminder, SCOR will hold an Investor Day on March 29, during which its strategy will be presented. I wish you good afternoon.
Operator: Ladies and gentlemen, that will conclude today's conference. You may now all disconnect.